Operator: Good day, everyone, and welcome to the Navios Maritime Holdings' Fourth Quarter 2022 Earnings Conference Call. [Operator Instructions] With us from the company today are Chairwoman and CEO, Ms. Angeliki Frangou; Chief Financial Officer, Mr. George Achniotis; Senior Vice President of Strategic Planning, Mr. Ioannis Karyotis; and Navios Logistics' Chief Financial Officer, Mr. Enrique Ferrando. Please note today's call will be recorded, and I will be standing by if you should need any assistance. It is now my pleasure to turn the call over to Mr. Michael Pearson. Please go ahead.
Michael Pearson : Good morning, and thank you for joining Navios Maritime Holdings' Fourth Quarter 2022 Earnings Conference Call. We are pleased to host this call from the Cayman Islands. I will now turn the call over to Ms. Daniela Guerrero, who will take you through the conference call details and safe harbor statements. Daniela?
Daniela Guerrero: Thank you. As a reminder, this conference call is being webcast. To access the webcast, please visit the Investor section of Navios Maritime Holdings website at www.navios.com. You'll see the webcast link in the middle of the page, and a copy of the presentation referenced in today's call will also be found there. Now I will review the safe harbor statement. This conference call could contain forward-looking statements under the meaning of the Private Securities Litigation Reform Act of 1995 about Navios Maritime Holdings. Forward-looking statements are statements that are not historical facts. Such forward-looking statements are based upon the current beliefs and expectations of Navios Maritime Holdings' management and are subject to risks and uncertainties, which could cause actual results to differ from the forward-looking statements. Such risks are more fully discussed in Navios Maritime Holdings' filings with the Securities and Exchange Commission. The information set forth herein should be understood in light of such risks. Navios Maritime Holdings does not assume any obligation to update the information contained in this conference call.
Michael Pearson : We will begin this morning's conference call with Navios Holdings' Chairwoman and CEO, Ms. Angeliki Frangou. Angeliki?
Angeliki Frangou : Thank you, Michael, and good morning to all of you joining us on today's call. I am pleased with the results for the fourth quarter and full year of 2022. We performed well with 2022 net income of $87 million and EBITDA of $355 million. 2022 marked a turning point for Navios Holdings, as we sold our international fleet, recognizing $170 million gain from the sale of the vessels. We used $370 million in sale proceeds, primarily to repay debt, substantially deleveraging the company. Today, Navios Holdings owns 10.3% ownership interest in Navios Partners, a diversified marine transportation company. We believe this is an attractive investment with good long-term prospects. We also own 63.8% ownership interest in Navios South American Logistics, a logistics and infrastructure provider in the Hidrovia region of South America. We believe that the global macro condition support heavy growth in the Hidrovia region, as China is coming out from the pandemic and demand for mineral commodities increased. Also, Ukraine has impacted demand for the gasoline commodity. In fact, the continued focus on food security drives agricultural volumes. We are focusing on maximizing the return from our existing assets by building adaptive and offering innovative logistics solutions. We are seeking to leverage Navios Logistics' unique infrastructure assets to capture increased demand from existing clients, while developing new businesses. I would like now to turn the call over to Mr. George Achniotis, who will go through the financials. George?
George Achniotis: Thank you, Angeliki. Please turn to Slide 5 for a review of the Navios Holdings financial highlights for the fourth quarter and full year 2022. I want to remind you that following the sale of the drybulk fleet in Q3, the consolidated results of the company mainly reflect the results of Navios South American Logistics, plus the equity net earnings of Navios Partners. In order to present a more meaningful comparison of the results, we are presenting EBITDA and net income from continuing operations for both 2021 and 2022. EBITDA from continuing operations for the quarter was about $35 million compared to $17 million in Q4 of 2021. EBITDA was mainly made up of $15 million from Navios South American Logistics, including noncontrolling interests, and $21 million from the equity pickup of Navios Partners, minus $3 million of expenses. Net income for Q4 2022 from continuing operations was $11 million compared to a $13 million loss in Q4 of '21. Moving to the full year financial highlights. EBITDA from continuing operations was $65 million compared to $148 million in '21. The 2022 results were affected by a $98 million impairment loss relating to our investment in Navios Partners. Net loss from continuing operations for the year was $59 million compared to a $41 million income in 2021. The impairment loss that affected EBITDA also affected the net income of the year. Moving to Slide 6 and our balance sheet highlights. Similar to the income statement, the consolidated balance sheet as of December 31, 2022, mainly represents the balance sheet of Navios South American Logistics. The cash balance was about $79 million compared to about $138 million at the end of December '21. I want to remind you that at the end of December 2021, the balance included $84 million that was restricted cash used to facilitate the repayment of the loans in January of '22. During Q4, we completed a tender offer for the preferred equity, $9.2 million was paid for 604,000 preferred shares G and H, representing 26% of the total preferred shares. Please turn to Slide 7 for an overview of Navios South American Logistics. Navios Logistics operates three port terminals, which provide more than 90% of EBITDA. These are complemented by our barge fleet for river transportation and product tanker fleet for costal cabotage trade. We have unique infrastructure assets in the region, which we want to leverage to serve our existing clients and develop new business opportunities. At this point, I will turn the call over to Ioannis Karyotis for an update of Navios South American Logistics' recent developments.
Ioannis Karyotis: Thank you, George. Please turn to Slide 8, where we discuss the current market environment. The outlook for mineral transportation and transshipment is positive, driven by favorable macro conditions. J&F acquired the mines of Vale in the region in the second half of 2022. Today, J&F are driving more cargoes through our terminal and plan to increase further production. Two other regional iron ore producers, Vetria and 4B Mining, both use our terminal to export iron ore. In 2022, throughput in our iron ore terminal increased 123% to 1.5 million tons. About half of this volume was transshipped during the fourth quarter, so we are expecting 2023 volumes to be larger. In 2022, grain exports through our port in Uruguay were 38% higher than in 2021, mainly driven by higher Uruguayan exports of soybeans. According to USDA, the 2022/'23 soybean crop of Paraguay is expected to be 10 million tons from 4.2 in the prior year, while the Uruguayan crop is expected to be 2.3 million tons lower than the 3.1 million tons produced last year. Increased production and exports of iron ore means more transshipments through our port terminal in Nueva Palmira, but also increased demand for barge transportation. The recovery of the Paraguayan soybean production creates better demand for dry cargo barge transportation this year. This should result to an improved performance of the barge segment compared to 2022. In fact, in the first month of 2023, we fixed a number of barge convoys for iron ore transportation on period time charter contracts at attractive rates. In 2022, the cabotage business recovered compared to 2021 when demand collapsed due to COVID. We continue to see strong demand from clients that is resulting to improved charter rates. 2023 contracted days are fixed at 36% higher average time charter equivalent rate compared to 2022. I would now like to turn the call over to Enrique Ferrando, Navios Logistics CFO, for the discussion of the financial results.
Enrique Ferrando: Thank you, Ioannis. Please turn to Page 9. In 2022, Navios Logistics performed strongly with a 20% growth in adjusted EBITDA, driven by our barge and cabotage segment. Revenue increased 14% to $254.2 million and adjusted EBITDA increased to $95.4 million from $79.2 million in the prior year. We recorded an adjusted loss of $1.2 million, which represents an improvement of $21.6 million as compared to an adjusted loss of $22.8 million in 2021. Turning to the results of the fourth quarter. Q4 2022 adjusted EBITDA was $10 million, 5% lower compared to the same quarter last year. Port segment adjusted EBITDA grew 15% to $16.8 million, mainly driven by higher values at the iron ore port and increased iron ore throughput from the clients, 4B Mining and Vetria. In the last segment, Q4 2022 adjusted EBITDA decreased by $5.6 million to a negative of $7.2 million. Mainly due to the sale of Paraguayan crop, our dry cargo barge fleet was effectively idle in the fourth quarter. At the same time, the fleet incurred expenses related to the repositioning to Asuncion and readiness for 2023 season. In addition, higher general and administrative expenses, mostly personnel and travel related to our reorganization, burden the results of the quarter. In the cabotage business, Q4 2022 adjusted EBITDA increased by $2.9 million to $0.4 million due to more operating days of the fleet as the market environment in Argentina has improved compared to the prior year, following recovery of the demand after the end of the lockdown. For Q4 2022, the adjusted loss was $12 million compared to $20.2 million loss in the same period last year, mainly due to lower finance cost and an income tax benefit on the Argentinian operations. Please turn to Slide 10. Navios Logistics had no significant debt maturities until 2025. Cash and cash equivalents at the end of the year of 2022 were $50.2 million. This concludes my presentation. I would now like to turn the call over to Angeliki for her final comments. Angeliki?
Angeliki Frangou : Thank you, Enrique. This concludes our Q4 earnings presentation, and thank you for attending.
Operator: